Operator: Greetings and welcome to the Rick’s Cabaret First Quarter 2013 Earnings Conference Call and Webcast. At this time all participants are in a listen only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Mr. Allan Priaulx. Thank you, sir. You may begin.
Allan Priaulx: Thank you, Jan. I just want to remind everybody that our Safe Harbor Statement is posted at the beginning of our presentation. It's also there to remind you that you may hear or see forward-looking statements that involve a number of risks and uncertainties. I won't go into the entire statement on this call but I do urge you to read it as well as the explanations of other measurements we use that are included at the bottom of the presentation. The presentation is posted along with our press release and other information at our investor website, www.ricksinvestor.com, as well as it's available in the presentation itself. Finally, I would like to remind everyone in the New York City area to stop by Rick's Cabaret on West 33rd Street this evening between 6 p.m. and 8 p.m. for our Due Diligence Ball. It's a great opportunity to visit with our management and to get a behind the scenes look at our flagship club. And now it's my pleasure to present to you our President and CEO, Eric Langan. Eric?
Eric Langan: Thank you, Allan, and thank you everyone for taking out your time this afternoon to review our quarter with us. We will begin the call with a quick overview with what we are going to discuss today, basically a summary of our first quarter of fiscal 2013. The chief drivers of revenue, earnings and EBITDA, cash flow. Bring you up to date on all of our new projects and we will discuss some of the strategies we are currently investigating to unlock shareholder value and help move our stock price along. And look into the outlook for the remainder of 2013 and end the call, as is customary with a question-and-answer session, so anything we don’t cover you guys are more than welcome to ask, we'll get into it. Quick snapshot. Consolidated revenue up 23.3%, to $27.1 million. I am very happy with our total revenue for this quarter and hopefully in the next quarter we will see that to grow as the Jaguars acquisition come online a little more for us and we have now integrated it. And I will discuss some of that here with you in al little bit. Q1 '13 net income was 21.1% at $2.6 million. Clubs acquired in 2011-2012 contributed $4.7 million in revenues and our Q1 '13 operating margin improved to 21.9% from 19.8% last year. And we will discuss some of the things we have done to improve those margins like cutting out some of the discounting we have done in the past to just put bodies in the seats, now that we seem to be returning to a more normal trend of spending by our customers. Our adjusted EBITDA for the quarter was $7.3 million, up 32.2%. A portion of that is of course due to the new acquisition of Jaguars and increase in income from operations from our existing same store sales. Our cash flow is up to $6.2 million, up 19.3% and I think we want to touch on, as we took on a considerable amount of debt we have got some concern on the Jaguars acquisition. We wanted to do some comparisons against other metrics and what we use with the rent metrics for most retailers -- and most retailers are running between 10% and 15% on rent expense, our rent expense because we own most of our property, is just 2.1%. Our interest expense is another 6.1%. If you add those together and say all of our debt versus all of our other rental and took that, the constant rent expense would be 8.2% of total revenue. So well below where a lot of retailers look to be. So we are not -- another metric to show you our leverage in addition to being less than three times of EBITDA, was another metric we use to kind of judge where we are on our interest expense. Q1 '13 legal down to 2.4% of revenues, probably remained flat in this January through March quarter but hope to see it even a little lower as move through the summer and get do a different portion of our -- our different stage of some of the cases that we have working right now. Positive capital working capital of $1.1 million excluding the disputed Patron tax liability. If you look at our current liabilities, they look high compared to a normal balance sheet because we include the tax, the Patron tax as that current liability at this time. However, we dispute that amount being owed and we dispute that we will ever pay that amount but under GAAP we must expend to that on a quarterly basis, so we do. And this is where you show up but we want to kind of give you an idea of the working capital without that disputed Patron tax. Long-term debt rose to $70.1 million, of which $35.9 million is real estate debt. The remaining debt is pretty specific debt, $7.2 million still against the Tootsie's property, $21.7 million against the Jag's property, and then other assorted debt that we have with the majority is against the Tootsies and the Jag's there. Interest expense for the quarter was $1.6 million or just 6% of revenues as I discussed earlier. And the additional principal payments have reduced Tootsies debt down to $7.2 million. We continue to pay an accelerated amortization by adding additional principal there because that is 14% debt which is our highest debt. So our best use of cash, whether to buy back stock or pay down that debt if we don’t have additional acquisitions and cash flow we can invest our cash in. Our puts are now at zero. As of January, we have paid of all of our put options. To give you an idea, in 2012 we paid out $2.9 million buying back stock under our put options. We paid out about quarter of a million dollars this year and there will be no further payments on a go forward basis. So that will free up a couple of million of dollars in cash flow for 2013 as well. Moving on to our new projects. We opened the Vee Lounge very successfully. We had Havana Brown out. She was fantastic. The crowd was really overwhelming that night which was fantastic for a night club. That’s what you want. You want to be packed in shoulder to shoulder. The food service there, we are getting a lot of ranting on great food. We are very happy with the beginning of this location. Obviously it takes to time see it come to fruition. It's very new but we are very excited about the start of this so far. The Bombshells location is now complete. All the permits are in. We are ready to open location. We will open in a matter of days, we believe with a nice soft opening on February 17. And then we will bring in some band starting on, I think around the 21st, and do a grand opening during the St. Patrick's Day weekend. And we expect that location to do very well for us. The location is phenomenal and the place came out very very nice. The Ricky Bobby's Sports Saloon in Fort Worth that we are hoping to open in the June quarter, we are still in preliminary construction there. The foundation is in. Most of the plumbing and electrical stuff is in. We are getting ready to put the walls up and get that one moving forward as well. We expect to close on our second New York City location very shortly and we plan to open sometime around September. We shall have more information on that later this week. Construction is almost near complete with our joint venture on the Rick's Cabaret in Los Angeles and hopefully we will get some new news out on that here in the next few weeks as well. We have also got a property in Odessa that we are waiting on for licensing stuff that when it comes through then we will be working on getting that property open as well. Going forward to our growth strategy. We are going to continue to emphasize on organic growth and cash generation, watching our margins, trying to limit discount as much as possible when we can, especially as the economy recovers. And moving into more stable margins. We are going to work to assure that we smoothly launch our new concepts and that we are keeping our folks on those concepts until we are assure that they are matured and operate on their own. And we are going to continue to explore accretive acquisitions that build our shareholder value as we have done in the past. One of the other things I want to look, we will talk about is, what we are going to do with our free cash flow going forward. Especially use our cash in -- we are going to continue to pay down our debt, especially our high interest debt, or buyback our stock if we think our stock is a better use of that cash. And we are also going to continue to get out there and look to buy more cash flow so we can keep the cash flow numbers growing. We are focused on our goal of 30% growth rate over the next three years. We want to continue to grow that. We want to be at around $200 million of revenues over the next three years. And we will continue to leverage our strong cash flows and our favorable debt to EBITDA ratios to do that. Meaning, if we have to continue to deleverage, buyout because our stock is underperforming, then we will continue to do those leverage buyouts. Taking on additional debt, using the cash flow of the new operations to pay off that debt. Just to give everyone an idea on the Jaguars acquisition and how well it's working out for us. In the quarter we did $3.6 million in revenues from the Jaguars acquisition, putting $1.364 million in EBITDA from that $3.6 million, deducting $327,000 in principal and $661,000 in interest expense that we paid out, it was a cash flow of $375,000 plus an approximate $200,000 in patron tax that we expensed out. So for a $4 million investment we basically got $575,000 worth of that back in the October to December quarter. And that was with the growing pains that we suffered through in October and November, adding 11 locations and trying to integrate those into our operations. Training their staff on our POS systems, our cash handling systems. Getting used to the camera systems, the security and the operations, the way we operate. We lost a few managers that worked for their company, had to bring in some new management team. We had to promote some managers and create regional managers in areas where they were lacking oversight with management. We believe that we have successfully integrated that. December was a fantastic month and January has been a great month for that as well. So I think those numbers in the next quarter will look even better for us on a go forward basis. We are very happy with that acquisition and the way we were able to leverage our brand and our reputation. We are paying our bills on time through other club owners, through acquisitions we have done in the past that allowed us to make that acquisition. That will end the formal part of our presentation and I will be happy to take any questions anyone has at this time.
Operator: (Operator Instructions) Our first question comes from the line of Richard Keim with Kensington Management. Please proceed with your questions.
Richard Keim - Kensington Management: There was a recent ruling in Kansas concerning exotic dancers that they are employees not independent contractors. What's your thinking there?
Eric Langan: As the state court ruling, there is some federal court ruling at Arkansas. Basically right now, the ruling is now about 50:50 depending on where you are and how they were interpreted and those cases were presented. The reality of it is, at this point it doesn’t really affect us in New York at all. It's basically particular to Kansas State law. So we are watching that case. We have read it. We are looking at some of the decisions the judge has made and obviously we disagree with some of that as does the club owner in that state. And so we are watching continue our battle in New York and see where it takes us.
Richard Keim - Kensington Management: But this could underscore that this might spread countrywide....?
Eric Langan: Well, I can say this is specifically under state -- that’s under state law. It's not under the Fair Labor Standard Act claims. For its most part the majority of our, the major claim is under federal law. And so this is a state law. There are two claims of course against us. One state court -- they are both in front of court but one under state law, one under federal law. So there is, there is basically going to be different determinations at some point, we believe. So we are just going to have to continue to go forward with it and see where we go. We think we have a very good case. Our attorney thinks we have a very god case. And if you look at the Arkansas case, where the entertainers were ruled -- in federal courts ruled, independent contractors based on (inaudible). We have less controls, less of the factors than that case had as positives for us. So it's just way too early to tell. I think this is -- it's still couple of years down the road before we are going to know anything in this New York case.
Richard Keim - Kensington Management: Have you run anything on the balance sheet or on P&L just like, hey, if you had to pay a minimum wage...?
Eric Langan: Well, we have counterclaims against right to offset against all of the [dance folks]. So I mean at this point there is now way we are to do it. We know that if everybody was to make, every club was to make the entertainers employees, we have done that in our one club in Minnesota. And so we are familiar with it. We have got a formula for it. It is very successful for us in Minnesota and we believe that it would be if we were to carry that nationwide. You wouldn’t see much change in the way we do business.
Richard Keim - Kensington Management: You had ---I am sure as far as the legal fees, it hadn’t came down more graphically. I know we don’t....
Eric Langan: Yeah. We filed upon some summary judgments. We had some summary judgments and some other things that we filed in this New York case. While the New York is still fresh, we had two new cases that were filed in Texas that were dealing with the Jaguars acquisition, which added a little bit of fees in the last quarter. In the October to December quarter.
Richard Keim - Kensington Management: What you think of it going forward?
Eric Langan: Yeah, I think this quarter will probably be very similar. As a percentage it's down. We were at 3.2% of revenues, we are down about 2.4% of revenues. I would like to see it under that of course. I would like to see it under 2% of revenues. We will continue to watch it as it goes forward and continue to grow our revenues. So number one, the fees as a percentage of revenues continue drop. But also hopefully these cases will get moved along here over the next few quarters. And basically we filing summary judgment motions and what not in the New York case. So it should be a matter of time. Probably end of March, I think, most of those have to filed by. Then it's just sitting away for the judge type deal over the summer. So it will probably be pretty light over the summer is what we are guessing. And then we just have to wait to see how the judge rules on some of the stuff and figure out on a go forward basis how that’s going to work.
Richard Keim - Kensington Management: Now you don’t have anything in your chain?
Eric Langan: No, we don’t. We have no clubs for Super Bowl this year. First year in a while we had no clubs for Super Bowl.
Richard Keim - Kensington Management: Let me ask you. Is -- someone mentioned that we might see one of your planes down in New Orleans. Is that....?
Eric Langan: One of our planes in New Orleans for Super Bowl?
Richard Keim - Kensington Management: Yeah.
Eric Langan: Yeah, we were at Super Bowl.
Richard Keim - Kensington Management: With the plane?
Eric Langan: With a plane, yeah. We took a couple of our lawyers and director of operations and went down for that Sunday. We just flew in that morning.
Richard Keim - Kensington Management: You have two planes?
Eric Langan: Yeah. One is just a little single engine, Cessna. And then the other is a Citation Mustang. Very fuel efficient, light weight, VLJ business jet. And then some of chauffeurs are the pilots so we don’t have to pay, so it's not that we pay employees, additional employees to fly the plane.
Richard Keim - Kensington Management: How do you determine what's personal and what's corporate?
Eric Langan: There are the company guidelines that we have to follow under the federal IRS guidelines.
Richard Keim - Kensington Management: Do you think it's logical for a company of your size to have two planes or even planes?
Eric Langan: Well, I mean, it depends on the planes obviously.
Richard Keim - Kensington Management: No, Allan, don’t cut me off.
Eric Langan: Obviously, it depends on the planes. There are arguments for both side of the equation. I was flying about 200,000 miles on the United. I was spending all of time in airports, you know. Now I spend a whole lot less time at airports and whole lot more times getting stuff done. Are the expenses different? Yeah, it's actually cheaper when I fly my single-engine Cessna. It burns about 16 gallon of av gas. It's a little more expensive than a first class ticket when I fly in the Mustang. So you can look at the price per mile in the Mustang, but I can take up to six passengers. So if we take other people, then it gets cheaper. So it really depends on how many are on these flights, have the link for the flights, those types of things, all effect obviously the cost of jets. With the tax consequences of a business jet right now, we bought the jet new. We got accelerated bonus depreciation. We actually made about $200,000 we would have paid to the federal government over the payments and the [cost] in use for the jet in the last fiscal year. So it varies. Will it always be that case? Maybe not. And when we look at the tax consequences of jet ownership, without the benefits it probably wouldn’t be, for a small company like ours, no, it probably wouldn’t be advantageous for us to own the jets. But with the tax benefits we currently believe it is.
Operator: Our next question comes from the line of David Kasorowki, a private investor. Please proceed with your question.
Unidentified Speaker: First of all congratulations on hitting your guidance for 20% to 30% growth, I hope you hit it. So drilling down on the top line a little bit. Looks like service business was your best performer, 28%. Can you get a little bit more granular on that? What areas of services performed better that others?
Eric Langan: Well, with the Jaguars acquisition, a lot of the clubs are BYOB, so there is no liquor in those clubs. So that kind of skewed the percentage a little bit on the service revenue growth. So most of that service revenue growth is from the Jaguars acquisition.
Unidentified Speaker: So same store sales were in the teens and your guidance from [24%] to 30% and obviously in this quarter you made up for the remainder through as you set the new properties and new ventures. Going forward, can we expect the same stores to be in about the teens and have the...?
Eric Langan: Well, you look at the income growth from the same store sales. I think income growth will hopefully stay around the same because we have stopped a lot of the discounting which is helping us earn more money on the customers that we have. Actually same store revenue growth was only about 4%, I think, or 3%. Yeah, about 4%, yeah. Sorry, I had to check it, I have it right in front of us. I don’t want to give you wrong number.
Unidentified Speaker: So you are really going to be relying on new projects at a steady stream to get to that 30%. Is that right?
Eric Langan: Yes. That’s always been the plan. Most of our major growth is through acquisition. Our revenue growth, not necessarily our income growth but our revenue growth, yes.
Unidentified Speaker: In the New York club, I know it's early, but any impact from Nemo that you want to share?
Eric Langan: It was very -- I mean the New York City itself didn’t really get hit that hard. You know I would say they scared a few people out of town that would have come in that Friday night but other than that I don’t think we had any effect at all in New York. I have been in New York since last Wednesday.
Unidentified Speaker: So definitely you don’t have any properties involved?
Eric Langan: Yeah. Off in here, they got hit a little harder and up a little north I think they got hit a little harder too. But the city itself, other than Long Island, I think fares pretty well.
Operator: Our next question comes from the line of [Bill Brown], a private investor. Please proceed with your question.
Unidentified Speaker: Two questions. Just in terms of earnings per share, what should we -- when you say returns of 20% 30%, what should we be looking for this year, do you expect?
Eric Langan: Well, we would like bring capital in without new guidance on it and have for the $20 year, and we are comfortable $20 for this year. And we are very comfortable with the guidance that they have put out. So I would say we are not really giving guidance at this point but we are comfortable with the numbers that brings -- has that on us now. So if you take a look at the numbers that they have put out on a quarterly basis, I think give you a good idea for what we think we are at.
Unidentified Speaker: Thank you. And the second question is, I am trying to understand, you have talked the last couple of quarters and haven’t backed in doing a good job of paying down debt and made a point this time on the call earlier talking about making actually additional principal payments on the Tootsies in terms of trying to pay down the higher cost debt. But I wasn’t sure how to interpret the recent $3 million raise then in terms of -- does that seemed to be...?
Eric Langan: Well, the reason we raised that money is for the -- the main purpose that is for the New York, to add the second New York Club. So when we close on that transaction and as we move forward, the stock moves up. With another 300,00 shares isn’t going to kill our earnings per share because the new New York club will more than cover for that. And second, we didn’t want our cash to get too tied where we had to manipulate or change some other thing like paying the additional 14% debt. If our stock stays cheap, I have been able to buy that stock back and then plus continue on with the other projects that we already have in the works. So that was the main focus there and main reason for raising that $3 million. So we have $1.5 million in down payment. We are estimating that it's going to be about $3.8 million or so for the build out. So that gives about $1.5 million to get all the build out started and the rest with this pay out of cash flow.
Operator: Our next question comes from the line of Peter Keane with Keane Capital Management. Please proceed with your question.
Peter Keane - Keane Capital Management: A couple of questions. First, can you walk me through kind of the metrics that you use as you try to determine your best use of cash? You got a share repurchase authorization. You have got a priority to pay down debt. You have got acquisitions and new contracts to fund. You have had New York, that’s the build out of New York. It seems to be a fairly complicated multi-regression analysis.
Eric Langan: It is very challenging to say the least. And if this kind, if we sit down and we go, okay, this is going on and obviously our stock price affects that. As the stock gets close to $8 or under $8 of course that we put a little more emphasis on the stock buyback. The 14% debt is always on our mind because it's such a high interest rate. And it (inaudible) when people look at our debt and they go, are you paying this guy 14%, I should be able to get 14%. So want to kind of eliminate that as quickly as we can. So we go look at our highest debt as 10% or 9.5% and we want to do better than that. It's a delicate balance. You know it's very challenging and sometimes we have to sit and look at it. Okay, we do all these projects, we do all this and we want to continue to accelerate this daily. We could stop accelerating the payment on the debt, and that frees up half a million a quarter here. We could do -- they think well, we figured out and that’s why we raised the $3 million. We said well, if we keep doing everything we do, what's our cash is going to be. How much do we have to raise to continue with everything we are doing as we have got plans here right now. And do the New York project, and the magic number was $3 million, so that’s what we raised. We probably could have raised more, we probably could have raised less. But that was the best number for us to raise.
Peter Keane - Keane Capital Management: Well as a shareholder, I vote for a debt pay down over share repurchase. Just one man's opinion. Now, changing the subject. On new location in New York, you answered one of my questions just a moment ago which is what the build-out expenses are expected to be. I think you said $3.8 million?
Eric Langan: Yeah, we spent on the last location. So we are guessing this location is probably similar. It should be a less. If construction actually comes down a little bit, believe it or not....
Peter Keane - Keane Capital Management: Can you kind of walk us through a little bit of that and you may not be able to get in very specifics but your expectations are in terms of economics. I think your New York club's location, and correct me if I am wrong, but next to Tootsies, perhaps your most profitable location or is your....?
Eric Langan: We believe that over a 36 months period that this club will grow to very similar numbers to what our current New York City location is doing. We believe it starts out in the $6 million to $8 million first year, than grows to $8 million to $10 million, and then grows to $10 million to $12. Very similar growth pattern to our existing location. Our existing location now is doing about $14.8 million in annualized revenue. So gives you kind of an idea of what....?
Peter Keane - Keane Capital Management: And what kind of EBITDA margins are you looking from this business?
Eric Langan: On the 14.8, about 6.7.
Peter Keane - Keane Capital Management: 6.7 on the 14.8. Okay.
Eric Langan: Yeah. Probably in the first year, you are probably talking at 25% to 30% EBITDA margin and as you grow you are going to push in the 40% to get into the later years.
Peter Keane - Keane Capital Management: And one last question. While Nemo didn’t impact you, Sandy impacted you...?
Eric Langan: Yeah. We were closed two days, on Monday and a Tuesday. So have a little bit of an effect on the course. We opened Wednesday night but it wasn’t typical Wednesday night and the Thursday wasn’t a typical Thursday. I would say probably, off of that location might have shaved $100,000 on revenue. But it wasn’t that....
Peter Keane - Keane Capital Management: No, we are kind of [rounding] there in terms of EPS.
Eric Langan: Yeah. Exactly. So far as to the bottom line, small effect. I doubt it was penny for that one.
Operator: Our next question comes from the line of [Masco Ellis], a private investor. Please proceed with your question.
Unidentified Speaker: I just want to say congratulations on a great quarter. I am a big fan of the company and how you are running it. I have got two questions. The first is, last quarter you mentioned you were exploring strategic alternatives with your real estate assets through an investment bank. Can you comment on which investment bank that was and have you made any progress on how to maximize the assets?
Eric Langan: We have talked with Bain. Obviously we are looking at some type of -- I am sorry, we are looking at some type of REIT, real estate investment trust to spend that real estate into a -- you know probably trade a real estate investment trust that we'd basically divided to our shareholders. And we are reviewing that. It's a very lengthy legal process. You know as we look forward to next quarter, so hope we will have more information on how feasible it is to do that and get that done. Because we have looked at you know basically trying to pay a dividend and when we looked at the dividend, they think the easiest way to do a dividend from a tax or not the easiest but the best tax efficient way for a dividend is through real estate investment trust. Since we have so much real estate, it made a lot of sense to us.
Operator: Our next question comes from the line of [Jason Shore with Seastone Investments] Please proceed with your question.
Unidentified Analyst: Just a quick question, can you just run down and break-down all of the debt and the interest rate on each. You mentioned Tootsies as 14%, $7.2 million. And then from there in descending order.
Eric Langan: It's all in our 10-K. All of our debt is listed in our 10-K. That’s probably the easiest way. The new debt that we did on Jaguar is all 9.5% debt. Other than that I think everything else is from the 10-K. I think that the Jaguar's debt is actually within the 10-K that we closed on December 16, or September 16, I mean.
Unidentified Analyst: And then the other question I have for you is a lot of the stuff with the pricing of the real estate itself. Do you guys have like an idea of what the license themselves are worth?
Eric Langan: I mean obviously, you have to kind of do an analysis and it's kind of a cash flow based analysis based on EBITDA. You know I mean I just figured in the lot of markets there is a certain amount of licenses in Houston that are available and that’s it. That’s why some cities have worked so much more than others. Like New York City where there is (inaudible) license, it's a license worth much more than paying the City of Houston where you really don’t have a license anymore. Because the city doesn’t have a structure and it's how you are operating out of these crazy lawsuits in different ways that you are -- or you are operating around licensing and those types of things in those markets. So it really depends. It's market to market based. And that’s why when we go and buy locations we buy them based on obviously barriers to entry and what we think is the safety net of the current license and what the likelihood of new zoning or new regulations coming into those markets and whether that will have an effect on the existing license or not based on either a court settlement or a grandfathering deal. So it's really difficult. And that’s why you see some licenses have no value at all and some licenses have millions of dollars of value on them.
Unidentified Analyst: Okay. So is there any way of getting a breakdown of few of the clubs that you have would have any sort of barriers to entry, so as we are sitting on our.....?
Eric Langan: I mean you kind of look at our goodwill. I mean that’s probably about the only way -- because I don’t think we break. I don’t think we really -- no, I don’t think we really do because I don’t think we really want our competitors know. And of course when we are out buying stuff, we don’t people to know exactly how we value the other locations licenses because we want to continue to deals on EBITDA.
Unidentified Analyst: Okay. Well, if there is any way in the future if you could just maybe identify particular zone, let's say like an El Paso or something like that. I mean like you know, like, hey, this is a market that has a certain amount of licenses where as other ones might not. Maybe just identifying that might be the....
Eric Langan: Yeah, we might have something along those lines. I know we have gone to the new format in the Q where we breakdown the clubs by amount of revenues and say how many clubs we have in each revenue bracket. So get people that idea of what differences lies in the clubs we own.
Operator: Our next question comes from the line of [Eric Setter with Brian Capital] Please proceed with your question.
Unidentified Analyst: Let's talk about the New York club a little bit here. So how do you expect the New York club not to cannibalize the club you're at? It's pretty close if I remember correctly. What is the different drivers of clubs, that both will be successful?
Eric Langan: It's about four blocks away. An actually the more clubs in an area, the better the clubs do. Which is why cities outlaw clustering. Make it so that the clubs have to be out and be apart and all of those things. But it's actually a different concept. You know very similar to what we did in Minneapolis. The clubs in Minneapolis are a block and half apart and since we lost a club up there and made the (inaudible), now called Downtown Cabaret. We run our, what we call cabaret concept in it, which caters to a 25 to 35 year old crowd. So it's a little more trendier music, it's a little louder. It's as much a night club as it is a strip club, I feel, as far as the energy levels and what not. And so it doesn’t really cannibalize the Rick's customer because it's a different customer base.
Unidentified Analyst: Okay. Do you think the economics will be the same or better or...?
Eric Langan: It will look very similar. Like I said, obviously it's going to take time to build the brand. I could say we think we start out with the $6 million to $8 million in the first year, $8 million to $10 million in the second year. That growth going very similar to the way we did the original New York location. And it could be a little faster. I mean we are a little more experienced in the market place when we came here in 2005. So hopefully we will be able to do a little bit faster, grow it a little bit faster than we did the Rick's location. But New York is still a tough cookie. New Yorkers are very set in their ways. They go to the same coffee shops and the same dry cleaners and the same stores. And getting them to change and do new things is tough. But I think with that 25 to 35 year old crowd, it will be an easier transition for them.
Unidentified Analyst: Okay. What are you seeing in terms of the flow for potential acquisitions going forward?
Eric Langan: We get calls every day. Right now it's not a matter of what to buy or what are we going to buy or can we buy. It's what do we want to buy. And that’s really what we have been kind of searching for you and taking our time. We are very patient. We are still we think the only cash buyer in the market and we are not really on a huge amount of cash right now. So we are even using a little bit of leverage ourselves right now because we have launched new projects and got some other things going so that we can kind of control our destiny on growth. When we are unable to find a suitable acquisition, we are hoping that one of our new concepts where we can build, basically anywhere. There is no zoning restrictions so it's just a matter of finding a great location for it and being able to do those locations as well. Plus they are much cheaper to fit as a start up and operate as well.
Unidentified Analyst: When you look at the restaurants, I guess the opening of (inaudible) this fiscal year, what should be think about in out years in terms of opening of restaurants going forward?
Eric Langan: We don’t really have any additional plans for at least six months. We are going to get these locations open. Kind of make for the margin what we expect to make sure that flows what we expect. And we really want to be confident before we go out on a limb too much and over expand. I mean, I guess mistake there us to make our growing quickly. And that’s something we are definitely keen on, we are watching. We want to -- like I said, we want to prove the concept before we try to take it to other markets at this point. So I don’t think before the fiscal year in September, I don’t think we are going to be looking to be adding a lot of new things. Unless we, obviously, that one of them takes off and goes crazy. We are just -- we are at the very beginning stages. I mean we just had a grand opening the Saturday before the Super Bowl in Vee Lounge. The other, the Bombshells is not even open yet, it opens on the 17th. So it's just too early for us to tell and say, this concept is great we are going to, let's go do three more of them.
Unidentified Analyst: Okay. And in terms of usage of free cash flow. You talked about debt, are you still buying back stock when it the level?
Eric Langan: Yeah, absolutely. I mean, you have seen in the last quarter we bought back additional shares. I can't remember the exact number but about 45,000 or 48,000, I think in the Q. Yeah, if it's out there, obviously we are very restricted on how many shares we can buy a day. We can't buy in the first 30 minutes, we can't buy over 25% of the average daily trading volume which limits us. And some days we have bids out there but our bids never get hit. So I mean we are in the market. We are watching the stock. I mean I think these prices are, I think it’s the cheapest clubs -- that I can buy our own clubs. You know nobody else sell any clubs that I know the risk down here. I know exactly what I am getting as our own.
Unidentified Analyst: Okay. And the last question. You talked about cutting back on the discounting and other pieces. How has that impacted traffic? You think there is more opportunities to kind of raise prices, how is your thought processes there?
Eric Langan: So really what it does is eliminates what I call, the people we are not making any money on. Basically what it does, it allows us -- say like $2 Tuesdays. We were doing $2 premiums and down. Then we went to $2 crown and down. Now we are $2 domestic beer and well. So we still have $2 drinks on Tuesdays but the premium drinkers, the people who are spending the higher money they don’t really care how much the drink is, are paying us the full price. We are still getting the other customer and they are just drinking bar drinks, low drinks, instead of the premium drinks. So it helps with our cost of goods.
Operator: Our next question comes from the line of [David Kazeski], private investor. Please proceed with your question.
Unidentified Speaker: One more from me. In the past quarters you talked about getting into the [slot] and moving out of this trading range. Have you taken any action around investor conferences or getting exposure from the investors side?
Eric Langan: Yeah. We have been out meeting with some institutional investors. Doing some non-deal road shows. We will probably continue to do that going forward. We are going after, trying to get the company seen. Tell the story. I think it's helping on the stocks trading at the high end of the range. We have been trading between about $7.75 and $8.50. It seemed to be trading for the higher end of that range. And then hopefully we will break through that here shortly. Seems like we are drying up some of the sellers. I know there is a few guys out there that have been looking to pick up some larger blocks of stock and have not able to find them because they have called us in essence so that we could help them find them. And we don’t know anyone with any large blocks that are looking to get of the stock right now either. But we will keep pushing and hopefully originally our hard work will be recognized or eventually I mean. I am sorry.
Operator: Our next question comes from the line of Chris Donnelly with Pacific Rock Capital. Please proceed with your question.
Chris Donnelly - Pacific Rock Capital: Eric, I just had a -- I came on the call a little late, I just wanted to check in. As it relates to the first quarter, the majority of the growth was acquisitive. I think you had mentioned 4% comps, if I heard that correctly, for the first quarter. Can you give us an update on January and February? You mentioned that you saw some accelerating trends. But if you could give a little bit more color, that would be great.
Eric Langan: In the Jaguars, I am hoping that Jaguars to do a much better portion in January. I think our same store sales growth is pretty much staying about the same. So we cut back on discounting so we are not really doing as much volume but the volume we are doing we are making more money on. Which is why you see that the same locations seeing club operations increasing 12.5% exclusive of corporate overhead. So the same store revenue, I am not seeing future increase on. And of course we didn’t have Super Bowl in our cities, so February, I don’t expect a big same store sales growth in February. So we lose about $0.5 in revenue in Indianapolis alone. But I still think we will have steady revenue growth and that what we are watching right now. We want to continue to see those margins as close to 22% to 24% as we can and keep our cost of goods in that 12.5% range. See a better cost of goods because we are not discounting the premium liquors. So that helps bring our cost of goods inline a little better. And I think we are going to continue on that. Right now the economy, it seems to be picking up, getting better. And we are seeing it in the customer spend. As long as we continue to see that I think we will continue with that strategy at this point.
Chris Donnelly - Pacific Rock Capital: Okay. Can we focus on the real estate, on the balance sheet at this point?
Eric Langan: Sure.
Chris Donnelly - Pacific Rock Capital: You talked about you had the potential for REIT. I think there is also a potential possibly for a sale leaseback. Is there a case for it to be made for you just to manage these properties under a long-term lease? Maybe do a transaction where you could sell these, repay debt and make it accretive to shareholders? Your thoughts on that.
Eric Langan: The percentage rates that these guys have talked to us on sales leasebacks and the controls they want, you know this is why we own our real estate. They all realize how much those adult licenses are worth and they want to control that adult license. If we are a typical hamburger stand, we could get these in rates and it made sense to us. I am not saying we wouldn’t look at sales leasebacks with an option to repurchase the real estate at the end of the term or something. But the people we have talked to and the ones that have approached us have just been so high that it just didn’t make any sense to us. Like paying an average of 7.60% interest on the real estate debt. I mean, I don’t know how much better we could do. I mean, as a whole, we do have a few pieces that are higher and as we pay those higher pieces down than our total rates decline. So we have got lot at 5.5%. We have got some prime plus one mortgages through some banks and those types of deals. So it's -- our real estate debt is really not that bad.
Chris Donnelly - Pacific Rock Capital: What do you think the actual value of the real estate is in a sale versus the carrying value on the balance?
Eric Langan: We think somewhere between $70 million and $80 million.
Chris Donnelly - Pacific Rock Capital: Okay. And then final question. What is your CapEx plan -- how should I think about CapEx for this year?
Eric Langan: Typically it's been running around 30% of our depreciation. So maybe a little bit higher this year because we are making investment in the Jaguar properties. But I wouldn’t expect it be much more than that.
Operator: Thank you. Ladies and gentlemen at this time there are no further questions. I would like to turn the floor back to management for any closing comments.
Eric Langan: All right. Then I will turn it over to Allan here and thanks everybody for calling in today.
Allan Priaulx: Thank you everybody. And any further questions you have, you can always reach me at ir@ricks.com. And for those of you in New York, I hope that you can drop by to Rick's Cabaret this evening for our due diligence event. Thanks very much.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.